Soren Skou: Good morning everyone and thank you for listening to our earnings call today for Second Quarter Interim Report 2019 for Maersk. My name is Soren Skou. I'm the CEO, and I'm joined today by Carolina Dybeck Happe, our CFO. Now, before we move into the business specific highlights, I would like to comment on the current trade environment. First, I want to make sure that it is clear that we don't believe that tariffs are good for the global economy and we do not welcome them, but with that being said the impact from the current U.S. China tariffs and trade tensions on global trade has been quite manageable for us so far. Overall global container trade has increased around 2% in the first half of 2019. That puts it right in the middle of the 1% to 3% range that we laid out in our guidance at the start of the year and that's what we have been planning for when it comes to net working capacity as shown. U.S. imports have slowed, yes, but so far the drag from tariffs has been less than expected. U.S. imports from China is down around 7% in the first half, but Pacific trade overall grew 1% and total imports to the U.S. grew 2.5% in the first half. Also European related trade where we are most exposed have seen strong volume growth in first half around 5%, in part because of trade diversion resulting from the U.S. China trade tensions. The impact on tariffs on trade is being moderated by a number of factors. The most important probably is that the consumer spending is what drives demand in our industry and consumer spending remains fairly robust in the U.S. supported by good labor markets and high consumer [indiscernible] confidence. But secondly, I also want to say that the goods that are impacted by the tariffs in the U.S. they represent only around 4% of the U.S. consumer spending baskets. We are also seeing mitigation from exchange rates, stronger dollar against the RMB reduces the impact of tariffs on the price of imported goods and the dollar has weakened more than 10% against the – the RMB has weakened more than 10% against the U.S. dollar since the mid 2018. We also believe that both Chinese exporters and U.S. importers have absorbed some of the tariff costs through lower margins and for sure sourcing patterns are changing imports of goods to the U.S. from outside of China have increased growing at close to double-digit in the first half. So new sourcing locations often entail higher freight rates and open up new opportunities for us to sell Logistics & Services processing. And then finally there is quite some anecdotal evidence that tariffs are being circumvented to some extent by shipping stuff out of China to other destinations in Asia and then sending it on to the U.S. Looking forward, the impact of the tariff hike that was to 25% on the first 250 billion which was in April 2019 and that is at least 10% tariff on additional $300 billion of imports to China remains uncertain, not least because it seems to have been modified just this week. If it all were to be implemented, we estimate it could reduce global trade growth by up to 1% at this point for the next year and as the IMF has pointed out further escalation could cause the global economy to slow further and that of course will be negative for us. It is understandable that there's a lot of focus on U.S. China trade tensions. However, I think it's also important to say that we should not lose sight of trade liberalization efforts being made elsewhere. WTO data now actually indicates the trade flows that are subject to liberalization are about three times as high right now than before the start of the trade tensions. So that's outpacing the restrictive measures in U.S. China trade. Over time these measures will help mitigate the negative trade impact from the U.S. China trade tensions. There are three that I would like to mention. First of all, in 2017 WTO made a trade facilitation agreement to reduce nontariff barriers such as things that are customs related and so on. More than half of WTO members have now ratified this. And at that time it was said that it could reduce trade costs by more than 14% on average and boost global trade by $1 trillion per year. It's also important to note that the U.S. made trade agreements with Vietnam, with Japan and with Canada and a deal with Mexico [ph] is expected too. So including Brazil and Argentina is expected to be signed shortly. And then in the Pacific, what is now called the Comprehensive and Progression Agreement for transpacific partnership of 2018, it covers 11 countries, Australia, Brunei, Canada, Chile, Japan, Malaysia, Mexico, New Zealand, Peru, Singapore and Vietnam. It accounts for 13.5% of global GDP and 500 million consumers where we have agreed or they have agreed to remove tariffs on goods and services and aim to remove also nontariff barriers. And China and the Philippines have indicated an interest in joining. So that is - those are some of the reasons for why the trade tensions have not impacted our business to the extent that many might have expected. Now let me move on through the interim results financial highlights. In the second quarter we had a strong improvement in earnings and free cash flow and we grew the top line marginally. EBITDA was up 17% to $1.4 billion reflecting a margin of 14.1% driven mainly by the Ocean business that reported higher margins both compared to Q2 2018 and through the first quarter of 2019. We delivered a strong operational performance in Ocean in the quarter driven by volume increase of 1.4% giving a cost reduction of 3.5% and average freight rates going up by 1.5%. Also our terminal business had a strong quarter with volume growth of 8.5% which leads to higher utilization and improved margins. The earnings, improvement in earnings translated into much better cash flow and our operating cash flow was up 86% compared to the same quarter last year and also cash conversion was at 86%. Our free cash flow before lease payments improved by $1 billion compared to Q2 of 2018 to $750 million. In the same quarter, we distributed just over $600 million to shareholders via dividends and share buybacks and at the same time we maintained a strong balance sheet with our investment grade rating being reaffirmed by the rating agencies. The return on invested capital improved 3.1% from 0.1% in the second quarter late last year due to the improved financial performance. And then with this slide and seeing that our guidance around US$5 billion including IFRS 16 effects for the financing year of 2019 is maintained and we will later in the presentation elaborate more on the outlook for the second half year. Now when we look at the half year result it is the same story. We had little bit of more top line growth $1.6 billion to $19.2 billion. EBITDA was up 24% to $2.6 billion which is an improvement of exactly $500 million reflecting a margin of 13.5%. Operating cash flow also for the half year almost doubled with an increase of 95% compared to last year and cash flow generation came in at 102% while free cash flow before lease payments was positively impacted by the sale of Total shares and improved from negative $400 million last year to positive to $4.2 billion. We have reduced our net interest bearing debt from $7.6 billion to $12.9 billion compared to the end of Q2 2018 supported by cash proceeds from the sale of Total shares and strong operating cash flows. Now let me move to transformation. We have, as you are well aware, started to report on these four transformation metrics, and I guess, what I can say is that we are quite pleased with two of them, development two of them, cash return on invested capital came in at 6.9%. That's up from a negative 1.4% last year and we also are happy to say that we can declare victory in terms of harvesting synergies of $1 billion from the acquisition of Hamburg Süd and the integration of Logistics & Services at the end of this quarter, six months earlier than expected/. Our gross profit growth was reasonable in Logistics & Services at offer at 4.9%, but of course the base is very small here. And then finally, non-Ocean revenue actually slightly declined and when adjusted for sale of container factors grew by 2%, so this is an area where we in the coming quarters will aim to do better. And with that, I'll turn it over to Carolina.
Carolina Dybeck Happe: Thank you, Soren. And then turning to our financial highlights. Looking at our financial highlights for the second quarter of 2019 you can see from this slide that we reported improvement across all our financials compared to last year. We grew revenue by 0.6% with increase in both Ocean and Terminals & Towage segment while Logistics & Services was on par. Our focus continues to be on improving profitability across the businesses and we can see this from the EBITDA improvement of 17% in the second quarter for 2019 and EBITDA margin improved with the full 200 basis points to 14.1 from 12.1. EBIT also improved to over 400 million compared to only 65 million last year in the same quarter and the EBIT margin is now on 4.3% compared to 0.7% last year and the underlying profit is $134 million and you compare that to last year we have only had $50 million and this despite higher net financial expenses and that is related to no longer having dividends from the Total shares that we had in our books last year. So for the first half of 2019 underlying profit was $65 million compared to a loss of more than $300 last year. Next slide, looking at the CapEx. For the second quarter, gross CapEx spent was $445 million and if we compared that to a year ago, this is basically half as compared to Q2 in 2018 and we maintained our CapEx guidance of around $2.2 billion for 2019. And that is significantly below the CapEx level we saw in 2017 and 2018 with $3.2 billion and $4 billion respectively. It is also important to keep track of is our contractual capital commitments, basically CapEx that we have already committed ourselves to spend in the future. Today, after Q2 we have 1.9 in the books, and that is $1 billion less than a year ago and to put in perspective compared to two ago that book looked like 5.8 billion, so significantly lower level of committed to CapEx. And the commitment we have is mainly related to terminal concessions. And I would like to reiterate that we have no plans of ordering any new large vessels contain at least 2020. And I expect we can provide you with the capital guidance for 2021 after or in relation to our Q3 reporting. Turning to the cash flow development then, here clearly we have also made very good progress. If I look at the operating cash flow, it increased to $1.2 billion, so double where we were a year ago. The cash flow from operations was positively impacted by around $300 million in net working capital movement as well of course as the increase in EBITDA. And therefore we had a really nice cash conversion of 86%. And for the second quarter the free cash flow just shy of $750 million which really reflects the improved earnings, strong cash conversion and basically halved CapEx. And then we adjust for capitalized lease payments related to IFRS 16 and the fee cash flow then ends on $0.4 billion plus. We are very pleased with the free cash flow we generated both in Q1 and Q2. Our cash flow will be impacted in the second half though of preparations toward IMO 2020 as we have said previously and that is really because we are starting to buy more expensive fuel towards the end of the third quarter and in the fourth quarter. So that will impact our working capital, but it will, well I will say it hits our working capital this year, but not really the cost base since we will not start to burn the fuel until late December and then next year and next year. Next slide, and looking at debt. The net interest bearing debt was $12.9 billion, so basically flat from the quarter before. So we had good free cash flow and then we, in the same quarter we paid annual dividend, did the share buybacks and had some more capital lease obligations. I would say an important measure though is this year-over-year and last year we were over $20 billion in debt and year end we were $15 billion. So you can see that we have significantly deleveraged our company. And also good news, Standard & Poor's lifted the outlook on our credit rating and confirmed BBB with stable outlook now in the second quarter. Consolidated financial income, well here on this slide we have summarized all the financial KPIs and I've touched most of them. So I'll just comment then on the financial costs. And in the second quarter the increase slightly compared to second quarter a year ago and well we had lower financing costs now because we are significantly lower debt level, but last year we had the Total shares and the dividend that we received from them comes into this line in financial items. And if we take the next slide, the same goes for first half. I've touched most of the KPIs and basically same comment also on the financial costs here, that they are slightly higher compared to last year, although we have lower debt. So we have lower interest, but on the other hand we have no dividends this year from the Total shares expected. And with that, I will hand over to you Soren to cover the segments.
Soren Skou: Yes, thank you. And I'll start with Ocean. We grew a lot last year with the acquisition of Hamburg Süd and as we have earlier said also at the first quarter earnings call that we are focusing this year on improving profitability in Ocean. In the second quarter both revenue and profitability grew. EBITDA improved by 25% compared to Q2 of 2018, and the margin improved, EBITDA margin improved by 260 basis points to 14.9%. This improvement was driven both by higher volumes, increases in freight rates, and very importantly, by improved unit costs as the total, our total cost base was on par with higher loaded volumes and an increase in [indiscernible] bookings. In the second quarter we launched the Maersk Spot product which new [ph] product that has a fixed commitment on both sides and this is within all in price, fixed at time of booking and this is an important step in the digital journey of the company. We also continue to prepare for the low sulfur fuel regulations starting in January. We have worked hard and very successful in terms of getting fuel adjustment clauses into all contracts. We are right now at 90% coverage on that and on the fuel supply side we are testing some scrubber technology We are making supply contracts for low sulfur fuel and we believe generally and we are reducing fuel consumption very importantly to mitigate the extra costs, so we believe we are well prepared at this point in time. Now on freight rates, freight rates increased 1.5% driven by continued focus on improving margins, combined with good recovery on the fuel. Our average freight rate is of course an average of the trade mix we have between east-west, north-south and intra and where the intra trades have the lowest freight in total amount. Volumes grew 5.4% in interest rates which means our average freight weight is impacted downward. We also did grow 14% intra-Asia which has lower freight rates than we see in intra-Europe and intra-America which further track down the freight rates on the overall intra-routes. This is also part of the explanation why our average freight did not increase as much as the CAC [ph] [indiscernible] which many use as a proxy for our freight rates. Total volumes increased 1.4% it is basically trimmed by backhaul volumes which increased 3%, and all volumes increased about 0.6%. We estimate for the quarter that global container volumes have grown around 2% down from around 4% last year. That means that we are now in this quarter growing largely in line with the market. North American trades were of course impacted by trade tensions and modest growth in the U.S. private consumption and Europe was positively impacted by higher demand for refrigerated goods. In North-South volume was driven. As a mixed bag growth in Africa and west central Asia, but declines in Latin America and also in mainly due to weak market demand. We did also in the second quarter see good and positive effects from the reorganization that we did at the beginning of the year focusing also on moving and pricing out of regionally which in combination with a strong network operation led to higher volumes. And we had a more stable network in the quarter and that enabled us to take more backhaul volumes which is the main reason for the strong backhaul volume growth. Now on cost, total operating costs were unchanged as I already said and we saw higher number of slots four five years at partners. Higher network costs from slots out of expenses were partly offset by lower container handling cost and ForEx FX impact. Container handling costs were positively impacted by lower positioning cost due to high backhaul volumes, lower turnover costs and overall more stable network. Unit cost at fixed bunker improved 3.5% following higher volumes, network improvements and FX impact. For the half year unit cost has improved 2%. This is in line with our ambition to reduce unit cost by 1% to 2% per year. Bunker cost was unchanged despite an increase in the bunker price of 8.5%. This improved, this is the fact that we could keep the cost stead was that we were able to improve bunker consumption with 7.5 – bunker consumption declined by 7.5% due to improved network and higher liability, so much better fuel efficiency. Moving on to Logistics & Services, revenue was on par, positively impacted by increasing revenue in one of the strategic important segments for our supply chain management, but this was offset declining revenue in sea and air freight. Gross profit improved by almost 5% positively impacted by higher intermodal warehousing and custom house storage [ph] profits and EBITDA improved by $9 million. At the beginning of the year we merged the organization for commercial, both logistics and ocean and this is on track and progressing as planned. Now I'll move on to supply chain management in particular. Volumes in supply chain management increased slightly. Gross profit decreased by $2 million mainly impacted by FX and that made the margins decline slightly. Intermodal revenue was on par positively impacted by increasing volumes and geographical mix negatively impacted by FX. Both volumes and margins decreased in here and sea freight forwarding negatively impacted by weaker demand, but also decisions we have made to exit certain countries. Our EBIT conversion ratio was stable at around 9.3%. On Terminals & Towage, we reported revenue increase of 13% with gateway terminals contributing with increased revenue and EBITDA, while our towage activity faced headwinds mainly related to lower activities in high margin areas and negative impact from the development in FX. EBITDA in gateway terminals increased 11% driven by increased volumes, storage income and utilization, but it was partly offset by some one-off items leading to a slightly lower margin. The one-off items and I want to be very clear here, were a number of things, such as some rebate schemes we had to provide for just an important is a bit in New York and some electricity issues we had in Moin [ph] and a few other things, and I want to be very clear when saying that we expected to improve margins in the second half with higher utilization we now have on our terminal network. We are moving forward with the construction on the remaining three terminal projects we have as planned. Tema in Ghana did become operational in June and will be officially opened later this year and Vado in Italy we expect opening towards the very end of 2019. Now digging a little deeper into terminals, we are quite pleased with the volume development, throughput increased 6.4% in the second quarter of 2019. External customers actually grew 7.6% and Ocean grew 4.1% which I think is a good testament to the competitiveness of APMT. Revenue per move increased 7.4% reflecting higher volumes in North America and revenue from storage [ph] in West Africa and the ramp-up in Moin, while cost to move increased only 4.7% mainly by higher volumes in high-cost terminals, this was partly offset by increased realization which increased full 9 percentage points to 79% driven by the strong volume growth, capacity growth and some capacity reductions in North America and ramp up in Moin. Also our harbor towage activities measured on number of chop-chop [ph] screw just about 2% with high activity in the Americas and Asia, Middle East and Africa and with some lower volumes in Europe and Australia. Despite this, earnings declined mainly impacted by lower activities in high margin areas, some one-off items, and FX partly offset by volume increases. And then I'll finish this section with manufacturing. We – mass container industry reported a decline in revenues from 249 to 130 to million it is purely impacted by the fact that we have exited the dry container business and also had lower revenue from the reefer business after the closure of the reefer factory in Chile. EBITDA improved however to $16 million from negative $6 million. However, we have to say that in the second quarter of 2018 we had a restructuring cost of $18 million in the numbers from the closing of the factory in Chile. In the supply revenue was on par at $70 million but EBITDA improved to $5 million from a negative $3 reflecting somewhat higher rates in the subsea vessel segment. Subsea supply Business segment. And with that, I'll hand over to Carolina, who will talk about the guidance.
Carolina Dybeck Happe: Thank you, Soren. Yes, then to the guidance for 2019, in A.P. Møller - Mærsk we expect to still have an EBITYDA of around $5 billion for 2019. The organic volume growth in Ocean is still expected to be in line with estimated average market growth of 1% to 3% for 2019, but bear in mind our focus is profitability. We expect to see lower rates in the second half of 2019 compared to the second half of 2018 due to the strong development we saw last year partly driven by an implementation of the emergency bunker fuel surcharges. So we expect on a year-on-year basis that cost will be lower in the second half of 2019 in Ocean as highlighted earlier by certain the market development in the first half year has been in line with our expectations, but of course we still see the outlook continues to be a subject to considerable uncertainties due to weaker macroeconomic conditions and other external factors. Please remember, and as you can see from the sensitivity table on this side, the volatility related to changes in freight rates continues to be high and impacts EBITDA by $700 million if average freight rates increased by $100 per FFE, basically 5% deviation equivalent. Guidance on gross CapEx is maintained at around $2.2 billion. We still expect high cash conversion in 2019 as well. And with that we will open up for questions.
Operator: Thank you. [Operator Instructions] And the first question is from Mark [indiscernible] from Barclays. Please go ahead, your line is open.
Unidentified Analyst: Oh good morning thank you. Two questions really, first of all your return on invested capital just over 3% annualized. Is overseas still a long way below the 7.5% target, what do you think what do you think has to happen from here to get you up to and achieving that target across the cycle?
Carolina Dybeck Happe: Okay, so we'll start with the first question, then on ROIC. Yes, we are on 3% now and 3.1% of course compared to zero last year. We are happy with the improvement, but not satisfied and I think that's also why we have added the cash ROIC measurements to our transformation KPIs where you can see that we are almost on seven compares to a negative minus 1.5 last year. So I mean the practicality of it is we still have big Ocean business so that needs to continue to performance and we need to keep the capital discipline in the Ocean. And we need to continue to develop the Terminals & Towage, I would say in the same direction as now and then we want to add to the L&S part which sort of gets our Ocean customers to love us a little bit more and be more stable, and therefore also get return in that part and that is not as CapEx intense as the other part of the business. So I mean, those are our main ways forward and that is how we see our road coming to our targeted 7.5.
Unidentified Analyst: And do you see the buildup of logistics as involving some quite sizable acquisitions or do you think it is just going to be a series of further small bottoms?
Carolina Dybeck Happe: Well, I would say that considering the size of our Ocean business and us wanting to have a more balanced picture, I would say we will have serial of small acquisitions, but also over time a couple of medium ones as expected.
Unidentified Analyst: Okay, thank you. And my second question was on CapEx obviously. You know, you are running at $2.2 billion this year against a pre IFRS 16 D&I [ph] charge of about $3 billion. How long do you think you can keep it under that sort of replacement level if that's the best way to describe it? And if you took a kind of five-year view, where do you think it would stand against depreciation?
Carolina Dybeck Happe: Well, I would say, the guidance that we have is for this year, and as of next quarter we will be able to say more about 2020. But of course, my strong intention is that we continue on a good trajectory when it comes to CapEx, and I think after that we will take it as it comes. So I don't want to give over the cycle view on that.
Soren Skou: Maybe I could just add to that. There is a reason for why we have this cash return on invested capital as one of our transformation metrics, because that will force a lot of CapEx discipline.
Unidentified Analyst: Okay, that's great, thank you both very much.
Operator: Next question is from Lars Heindorff from SEB. Please go ahead, your line is open.
Lars Heindorff: Yes, thank you. Also, a question regarding the non-Ocean parts. You mentioned in the presentation that you have been seeing a reduction in volumes both in sea and air [ph], but as far as I can see you also seeing quite a bit of reduction in the yields both in Ocean and in air. I'm just wondering how or what is the reason for this, because this is a trend that has been going on now for a number of quarters and it doesn't really coincide with what we see from some of the other freight forwarders out there? That's the first one.
Soren Skou: What's going on in Damco freight forwarding right now is that we are cleaning up the portfolio of business as we have separated out the year - out the company and that has some negative consequences on the P&L, but it's something that is important that we do.
Lars Heindorff: Okay. But the impact is still not visible on the conversion ratio?
Soren Skou: We have also - I think we have also taken some various debt provisions and things like that are impacting the numbers.
Lars Heindorff: Okay. The second one is regarding the Ocean part. If you take the nominal capacity that you have reported by the end of the quarter, it's up by 2.1% compared to Q2 last year. But since the end of Q2, as far as I can see you have continued to ramp up and is now at a run rate, which is actually well above 4%. Most of that increase, as far as I can see still is caused by you taking in more charter capacity. Could you elaborate a little bit about sort of your capacity plans? You have previously stated that you want to keep capacity flat, which probably means that you need to get rid of some capacity that needs to - you have need to obtain that target for the full year. And how you think about that increase in capacity and the impact into Q3 and Q4?
Soren Skou: Yes, we have a - we have said and still absolutely also mean that we want to be around 4 million TEU of deployed capacity. Right now, we have invested and we are meeting some extra challenge because we have a number of ships out in shipyards for retrofitting of scrubbers. And we also have invested a little more in - in slow steaming, invested a little more capacity and slow steaming this year. That's why the number - the absolute number is a little bit up. But - but, we absolutely want to remain disciplined on capacity and have - stick to our guidance of around 4 million TEU of deployed capacity because it helps us drive utilization up and unit cost down. So there is no change in that.
Lars Heindorff: Okay. And then the last one is still a little bit maybe regarding the capacity developments, because I assume that part of the reason for the very significant improvement in the bunker efficiency that we have seen in the last two quarters, is probably caused by the reductions that we've seen chartered capacity, which means you have more owned vessels normally larger and more efficient in terms of fuel, but the ramp up that we have seen now here in terms of chartered capacity, how will that impact your efficiency on bunker and also on the costs going into the second half?
Soren Skou: We expect to continue to improve fuel efficiency. There are many actually leave us to that that are important one. One is of course speed of the network and in the past couple of quarters, we have been able to significantly improve the stability or reliability of the network and that means that we are - when the ships are on time, they - they spend less periods where they have to speed up in order to meet port days or deadlines and that's very good for fuel efficiency. There is also, of course, the structural speed reduction was slow steaming that also improves fuel efficiency. But it's, there are many, many factors that go into this and we manage, of course, also the charter ships as much as we possibly can doing everything we can to make sure that they don't use more fuel than what is needed. So this is a good handful of different levers that we are applying to improve fuel efficiency and it is even more important as 2020 is looming because the best thing we can do in terms of mitigating the impact of that is of course is to use less fuel.
Lars Heindorff: All right, thank you.
Operator: Next question is from David Kerstens from Jefferies. Please go ahead, your line is now open.
David Kerstens: Thank you very much. Good morning, everybody. First question on your cash return program of $1.5 billion. When would you feel comfortable to lift that number closer to the original target of 5 billion, now that your balance sheet has deleveraged quite substantially and your free cash flow is strongly improving and also credit rating outlook that is now stable? That's my first question, please. It was mainly because of the uncertainty around IMO 2020 that you keep it at a relatively lower rate for the moment?
Carolina Dybeck Happe: Well, I would stick sort of to the answer I said in the last quarter, we will come back with that. We will execute on the existing program, which we have said is up to $1.5 billion within maximum 15 months and within that timeframe, but obviously towards the end of it, we will come back with more information on possible further steps.
David Kerstens: Understood. And then the second question, maybe can you quantify the working capital impact that you anticipate in the second half of the year from the higher priced bunker purchases?
Carolina Dybeck Happe: Of course, I wish I could, but I don't know what the price would be on the bunker. So I can't. But we - I mean we see big spread, so we see things changing. But what it really will be - I mean that will be the day when we actually buy it. As this is such a big change we don't want to speculate in it and count, but we are prepared for it and we are also both sort of operationally prepared for it, but we're also prepared for it that will take up some of our working capital capacity.
David Kerstens: Okay. Maybe a final question if I may, on trade land. So I think you reported during the quarter increasing acceptance among your peers and you now covering well over 50% of global capacity. When do you see the benefits of this initiative coming to or is mainly benefits for your customers or will it also eventually lead to higher volumes, similar to what you pointed out in your introduction earlier in the call?
Soren Skou: Yes, we are building, if you will - the platform and the network, the ecosystem on the trade lanes platform. May be it was a very important step to get commitments from some of the largest carriers in the world to join the platform because without the data from the carriers, the platform will not be interesting for the customer. So now towards the rest of this year we'll do the work to actually get these carriers on board. We will have around 60% of global capacity on the network then on the platform. We are at the same time building the platform with the land side participants container terminals, container trucker rail - rail roads and - and so on, so that we get as much of a network coming as many participants as possible. The concept for trade lanes is that the shippers will be the customers of trade lanes. So the revenue model will be that shippers will be paying - will be paying for access to all the data on the shipments and we have today around 8 customers, all of them big name companies that of course our pilot customers are interested in the new platform because they think it can help to manage their supply chain, improve visibility make it more efficient and so on. So that's where we are. We are building towards trade lanes - trade lanes becoming a business in it's own right as if you will, and Internet of trade.
David Kerstens: Great, thank you very much.
Operator: Next question is from Finn Bjarke Petersen from Danske Bank. Please go ahead, your line is open.
Finn Bjarke Petersen: Yes, good morning and congratulation with the strong results for the quarter. I just want to touch a little bit on guidance. You are guiding - more or less a flat result, first half, second half. Normally, we will see a stronger second half. Could you elaborate a little bit of how you see the high season develop and the reason for the flat guidance?
Carolina Dybeck Happe: Well, thank you for the congratulations. As to our guidance, well, we have maintained the guidance on around 5 and if I look at the second half of '18, we had very strong improvements in the freight rates and the financials compared to the first half of the year like you said. And therefore, we do have pretty tough comps to bit, and I would say the public freight rates indexes have not really shown that strength in July versus last year and also last year, we were really positively affected by this emergency bunker surcharge really coming into effect in the second half. So I mean there is a possibility that the freight rates in the second half of '19 will be lower than they were second half of '18 right? And then we have the macroeconomic environment. Well, it didn't improve in Q2 and we continue to see significant uncertainties even coming into the peak season and then we have, of course IMO 2020 which will also - well is a question mark I would say. But, I would say in general consumer confidence remains high, but well business confidence has continued to weaken and especially in the manufacturing sector is on. Bunker price fluctuations as well - Do you have seen it, so I would say the bunker price is down, but the fluctuations remain high and it's very difficult for us to predict. So with that, and also the IMO, including the fact that would have sort of on us we still stick to our guidance for the full year.
Finn Bjarke Petersen: And then just one question regarding the Q2. I understand there is a currency effect, could you give us just tell what's that's in US dollar? And the second to the Q2 result. If you would say you started result that reflecting that All-Stars was aligned in your favor in the quarter. How would you describe the second quarter performance?
Carolina Dybeck Happe: First on your FX question, the effect - what the FX effect on the U.S. dollar, mainly on EBITDA was really insignificant. So that didn't have a big effect on us. And I would say for the second quarter, I mean we improved what we could control and we improve that in a good way. So I don't think we can say that, that is all just us in the right direction.
Soren Skou: I mean, maybe I can just add here Finn, that we have all – all throughout this year, we have been planning for a low growth type of senari, we have all all throughout this year, we have been planning for a low growth type of scenario. We said early in the year we expected market to grow 1% to 3%. And we said we are not going to grow our capacity, our ambition is to grow more or less in line with the market for the year. And if you look at what happened in the second quarter, most of the improvement in my view is factors we have controlled our self. Freight rates went up by 1.5% that's nice, but unit costs came down by 3.5% and we got our commercial performance back in line with market growth. So, we have been very focused on profitability and what we can do to improve that ourselves.
Finn Bjarke Petersen: And then, just one thing on the backhaul, the improvement in backhaul is of course important for the - for unit cost reduction. As well as, you first give you a more and more units and less cost to repositioning. How do you see your backhaul develop in the second quarter of the year or second half of the year?
Soren Skou: We expect to see similar development I would say, I mean we - the network and the stability and reliability of the network is a big factor here. As we become more reliable, we also have more opportunity to load in the backhaul traits. If we are behind schedule, if you will, we have - we generally, will try to get out of port as quickly as possible to get back to that - to the head haul trade. So as the operator - the network is operating at very high reliability. Now we've - we have regained our spot, kind of the top of the industry league when it comes to reliability and we will continue to do what we can to drive further reliability in the coming quarters.
Finn Bjarke Petersen: Okay, thank you very much.
Operator: Next question is from Robert Joynson from Exane BNP Paribas. Please go ahead, your line is open.
Robert Joynson: Good morning, everybody. The first question from me, on the CapEx outlook, you've confirmed once again today there won't be any large vessel orders until 2020 at the earliest, but of course, 2020 is now at least four months away and based on your previous comments regarding capital discipline, it would appear relatively unlikely, I would say a large vessel order will be placed during 2020 specifically, but to help us think about the timing of the next large vessel order. Could you maybe just provide some color on what would need to happen from us to decide if it does need to make a large new vessel order?
Carolina Dybeck Happe: Yes, I will agree with your comment that even if we give the guidance after Q3 for next year, because we are doing the business plan for that period. It appears relatively unlikely that we will invest in larger vessels and big terminals concessions and I mean that - how that will turn out in the years to come after that, will of course have to do with how the development is of global trading containers, but we will continue our focus on profitability.
Robert Joynson: Okay. And second question which is, I guess is slightly related to that one. Just in terms of the unit cost improvement, which was good to see today, it was obviously driven by improved volume certainly versus Q1. You've talked about maintaining the deployed capacity to around 4 million TEUs, just to help us think about operational gearing, could you just maybe provide some color on how much additional volume could be handled while keeping the capacity at around 4 million TEUs well also maintaining that the high level of reliability that you're now seeing?
Soren Skou: Robert, it's really, really hard because, this is really at the core of how you design the networks and which trades that you focus on, obviously the more long haul trades, we have the less volumes we can load on 4 billion TEU of capacity and vice versa and we believe we have opportunity for continuing to grow in line with the market for a while with the 4 billion TEU capacity. That doesn't mean that we will grow exactly in line with the market in every single trade that could very well be that there are traits where we will see here we don't have a competitive position or we don't think we can be profitable. So why worry about our market share here and then it's focus in all the other trade. So it's very, very hard to ask to answer the question in a meaningful way. But we are committed to being very disciplined in terms of capacity deployment.
Robert Joynson: Maybe just to focus on a slightly and perspective, I mean if we look, let's say just in 2020. Would it be deployed capacity of 4 million TEUs, be a reasonable assumption for us to make for 2020?
Soren Skou: Yes.
Robert Joynson: Okay. And then a final question, just on IT expenses and head count actually. I think there was an interesting article in Boston last month, which included comments from Maersk Chief Technology Officer. I think he was saying that most currently has 3000 and IT employees. But in 18 months, he expects that number could be 4,500 to 5,000. Just two questions on that. First of all, do those numbers sound reasonable to yourselves? And second question is when Maersk is hiring in IT, at the moment, to what extent of the head count additions comprised of contracts is rather than permanent employees? Thank you.
Carolina Dybeck Happe: Yes. And that actually your lost, I would say you lost centers is sort of the answer to that question. We have in total around 6000 people working in IT, but half of them are contracted and what Adam talks about is a shift of that and having more of that sort of working directly for us and in the more strategic areas, and the important areas, and then keep a healthy balance of contractors for the rest.
Robert Joynson: Okay, thank you.
Operator: And our final question comes from the line of Marcus Bellander from Nordea. Please go ahead, your line is now open.
Marcus Bellander: Thank you. First question is regarding other income in Maersk Ocean. It was quite a bit lower in Q2 than in Q1 and I know it can be volatile, but I think this is one of the biggest swings with ever seen, is there anything structural there or is it just natural quarterly variations?
Soren Skou: There is nothing structural. It's this volatility in and detention income, it's really hard to predict.
Marcus Bellander: Okay, thank you. And the second question concerns your growth in backhaul rates in the last couple of few quarters you've talked about having essentially shed backhaul volumes, because you've done, the cost of repositioning containers too high, but now you're growing backhaul volumes quite a bit more than headhaul volumes. Is that a new strategic decision so to speak, or is it just that market growth has been on the backhaul for some reason?
Soren Skou: No, it is - it's what I said before, when our network that when our network becomes more reliable and stable. We have more opportunity for loading backhaul volumes and obviously, if we can do that. We achieve two things, we get rid of persistent costs and we do get some freight income as well. So we like to do that but - but if they - if the network is not stable we are often not able to do it. So it's a reflection more of how our network operates that we able to take these opportunities and it's reflection of market growth in backhaul markets if you will.
Marcus Bellander: Okay, thank you.
Operator: That was our final question. So I'll hand the call back to the speakers for any closing comments. Please go ahead.
Soren Skou: Thank you. Yes and I'll just end by saying that in the second quarter, we continued to improve profitability. We now had - have had four quarters where we've been able to improve profitability and EBITDA is up, basically 25% for the first half of the year which we are pleased with. We still need to improve further margins. As we already discussed on the call, we had 3.1% return on invested capital. That's a big step-up from last year, but less than halfway to where we want to go. So there is plenty of work to do. We are happy with our cash performance, we are happy with the delevering of the company. The fact that we are - we have started to share proceeds from the - the Energy separation with the - with the demerger of Maersk Drilling and the start of our share buyback program and of course, that's driven by better margins and driven by high cash conversion and so on. In Ocean, of course, we were able to improve unit cost by 3.5%, which is good and in line with our ambition of getting unit costs down 1% to 2% every year. And then finally, also positive for this quarter was the synergy target being of $1 billion being REIT. So, with that, I'll say thank you for listening and have a nice day.